Operator: Good afternoon. My name is Kyle, and I will be your conference operator today. At this time, I’d like to welcome everyone to the Citrix Systems Second Quarter 2014 Financial Results Conference Call. (Operator Instructions) Thank you. I’d now like to turn the call over to Mr. Eduardo Fleites, VP of Investor Relations. Sir, you may begin your conference.
Eduardo Fleites: Thank you, Kyle. Good afternoon, everyone, and thank you for joining us for today's second quarter 2014 earnings presentation. Participating on the call will be Mark Templeton, President and Chief Executive Officer; David Henshall, Chief Operating Officer and Chief Financial Officer; and Sudhakar Ramakrishna, Senior Vice President and General Manager of our Enterprise and Service Provider Division. This call is being Webcast on Citrix Systems' Investor Relations Web site. The Webcast will be posted immediately following the call. Before we begin, I want to state that we have posted product specification and historical revenue trends related to our product groupings to our Investor Relations Web site. I'd like to remind you that today's conversation will contain forward-looking statements made under the Safe Harbor provision of the U.S. securities law. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Obviously, these risks could cause actual results to differ from those anticipated. Additional information concerning these and other factors is highlighted in today's press release and in the Company's filings with the SEC. Copies are available from SEC or on the Company's Investor Relations Web site. Furthermore, we will discuss various non-GAAP financial measures as defined by SEC's Reg G. A reconciliation of the differences between GAAP and non-GAAP financial measures discussed on today's call can be found at the end of today's press release and on the Investor Relations page of our Web site. Now, I'd like to turn it over to David Henshall, our Chief Operating Officer and Chief Financial Officer. David?
David J. Henshall: Thank you, Eduardo, and welcome to everyone joining us today. Throughout the first half of the year, we continued our pivot towards mobile, recognizing that customers are looking for better ways to embrace mobility and leverage the full power of cloud infrastructure. In Q2, we hosted our annual Citrix Synergy event, bringing together our worldwide customers, sales teams, and partners, demonstrating unique innovations and the breadth of our technologies for mobile workspace infrastructure and apps. We introduced several new products, including the Citrix workspace suite delivering apps desktops, data and services under one easy to adopt licensing structure. Improving integrations and creating new opportunities for upgrades as well as the basis for new customer conversations. We’re also taking direct actions to improve operating efficiencies and return capital to the shareholders. This includes refinements to the portfolio, real estate, delayering and others, initiatives that will continue into the second half. I’m very proud of the Citrix team and our partners whose hard work has been critical as we continue to drive the transition to mobile and cloud. So let’s review the specifics for the quarter. As you can see from the release, total revenue increased 7% year-on-year to $782 million. Product license grew 2% off a difficult comp from a year-ago. We generated cash flow from operations of over $200 million and adjusted EPS was up sharply to $0.83 through a combination of improved leverage, our accelerated share repurchase, and lower tax rate. In Q2, we closed 47 transactions greater than $1 million each, up slightly from last year. Roughly half of these came from the Mobile and Desktop business with 4 that included XenMobile as a large part of the solution. Additionally, there was one significant sale that was for the new workspace suite released just in the last couple of weeks of the quarter to an existing XenApp customer looking to adopt the complete infrastructure. Geographically the EMEA region continues to deliver steady growth and execution, increasing total revenue 8% year-on-year and driving $9 million plus transactions. In the Americas, total revenue was up 4% year-on-year including 33 big deals and the Pacific Japan region grew 8%, including 5 large transactions. So next, let's look at the Q2 results with our three primary businesses. First, our Mobile & Desktop business grew 4% from last year to $396 million. We've been driving a broader conversation with customers about transforming the delivery of IT services to enable mobile work-styles securely and efficiently. The XenMobile product has proven to be a catalyst to these conversations and we continue to set the bar in the enterprise mobility market with MDM, mobile productivity apps, virtual apps and data in a unified, secure solution, a product that was again recognized last quarter in the leader squadron by industry analysts. Similar to the last few quarters, 80% of our mobile platform customers have opted for this complete solution, demonstrating the value of our integrated offerings versus stand-alone MDM technologies. In the aggregate, I’d say we're still very pleased with our revenue and pipeline momentum and while still a relatively small component of overall revenue, mobile platforms grew more than 50% year-on-year in Q2. The release of XenMobile 9 at the end of last quarter really raises the bar for complete end-user experience in this category and we will continue to improve our competitive differentiation as well as pipeline closure rates going into the second half. We are also working to address the issues that have impacted overall revenue growth within the desktop and apps part of this business. For the largest most demand in transformation projects, we continue to execute very well. In this segment, we’re winning most every competitive opportunity due to the unmatched breadth and performance of XenDesktop. To address the broad project specific segment of this market, we’ve reemphasized app virtualization shipping XenApp 7.5 with innovation such as hybrid cloud provisioning where customers are now able to provision and deliver desktops and applications from the cloud. Increasing data center flexibility, disaster recovery, burst capacity and many other business imperatives. This is an addition to continuing to provide the best application delivery system on the market, as XenApp has always done. We are also accelerating the tools necessary to accelerate customer adoption and migrations in the second half. For our customer segment, that is looking to consume as a service, XenApp is the foundational technology been leveraged by the Citrix service providers to deliver apps and desktops. This subscription business, which is now serving over 400,000 users, again grew more than 50% year-on-year and now represents about 8% of our app and desktop license mix. So we're delivering a complete enterprise mobility solution, allowing customers of all sizes to bridge between the worlds of Windows and mobility on premise or service based and to do with all in a people-centric experience that only Citrix can provide. So next in our Networking & Cloud business, total revenue increased by 9% in the quarter to $179 million. The NetScaler products were again the major driver of this business, with balanced growth between both enterprise customers as well as cloud service providers. For a little more context, let me touch on a few metrics from Q2. First, the cross-sell in attach initiatives led to over 550 virtualization orders that included NetScaler as part of the solution. We transacted with approximately 2,100 different customers in the period compared to about 1,900 last year, as we continue to expand our base. From a mixed perspective, the NetScaler SDX platform represented 17% of NetScaler license sales, while virtual appliances were 8% of the mix growing about 28% year-on-year. And finally, the investments that we've been making and go-to-market coverage, especially in EMEA continue to bear fruit, leading to an 11% growth in that geo off a really tough comparison from a year-ago. We’re driving innovation in the data center with our unique technologies across both physical and software define networking platforms, powering some of the worlds largest clouds and giving enterprises the capabilities to combine best-in-class app networking services on a single consolidated footprint. And finally, within our SaaS businesses, revenue was up 12% to $161 million. While overall revenue growth has slowed modestly due to secular pressures in specific markets like remote access, we’re encouraged by the success of many of our new initiatives. For example, our mobile first development focus accelerating product innovation and strategic packaging decisions have all led to a significant increase in year-over-year retention rates for the key products as well as higher Net Promoter Scores. These are examples of some of the foundational improvements that we’ve been focused on that are really necessary to maximize go-to-market effectiveness and accelerate future revenue growth rates. The communications cloud, which contain services like GoToMeeting, remains the largest part of our SaaS business. This contributed over 60% of SaaS revenue and grew 14% year-on-year. Our documents cloud, which is led by ShareFile, the data platform that enables robust sharing and sync services really meets the mobility and collaboration needs of users and the data security requirements of IT. This business continues to scale up well in Q2, up 60% from last year and represent a 9% of overall SaaS mix. So let’s turn to operations. Adjusted gross margin in the quarter was 85%, down a 130 basis points from year-ago as the mix of revenue reflects greater growth in networking and SaaS. Gross margins were roughly flat sequentially and as I mentioned previously we continue to expect this trend to level off as we move into 2015. Our adjusted op margin was 22% in Q2, ahead of expectations due to actions to rebalance resources directly against our most strategic imperatives, refinements to the structure as well as targeted cost actions. Looking at the balance sheet, cash and investments totaled $1.8 billion at the end of the quarter, up primarily due to cash flow from operations. And as we’ve discussed previously, we’ve initiated new programs to better optimize our cap structure and programmatically return capital to shareholders. In Q2, we successfully completed the issuance of $1.4 billion in convertible securities, while simultaneously initiating a $1.5 billion share repurchase program. This allowed us to buyback an initial 21 million shares of our own stock last quarter and we still have over $400 million remaining under the current authorization. And finally deferred revenue increased over $1.4 billion in Q2, growing $19 million sequentially and up over 12% year-on-year. So turning to our current outlook and expectations for 2014, I'd like to first provide some context around our guidance. We expect to see the strongest forward growth coming from our networking, mobile platforms, and data sharing businesses. The strength in networking, as we saw this quarter, will continue to pressure gross margins when compared to year-over-year which ultimately impacts operating margin. But overall, I’m very happy with the first half results and improving execution we’re seeing across many parts of the business. We will be investing in the areas necessary to reignite license growth, but with a focus on continuing to optimize our business model and margin profile. We’re going to maintain our current year, full-year -- current full-year expectations for total revenue growth, but feel confident in raising our estimate for EPS reflect expense and capital structure initiatives. So for fiscal year ’14, our expectations are now for a total revenue growth in the range of 8.5% to 10%, adjusted gross margin in the range of 84% to 85%, adjusted tax rate between 22%, 22.5%, and adjusted EPS of between $3.20 and $3.25 per share. With respect to Q3, we expect total revenue in a range of $765 million to $775 million, adjusted gross margin between 84% and 85% and adjusted EPS between $0.70 and $0.73 a share. So now I’d like to turn it over to Mark to give you additional details on the quarter’s performance and discuss our ongoing businesses. Mark?
Mark B. Templeton: Thanks, David. Good afternoon, everyone. I’m really pleased with our performance and results for Q2, and really proud to deliver operating efficiencies while driving our very strategic and significant pivot to mobility. As we move into the second half, we will continue operational refinements while staying aggressive with our solutions for customers business mobility needs. But some of our innovations from workspace delivery infrastructure to business mobility apps is our engine for delivering customer value, competitive differentiation, and profitable growth. In the last month, I began my 20th year on the Citrix team and I’m truly excited to continue that amazing journey. My passion for our team, our partners and our mobile workspace vision is unwavering and my conviction to the Citrix belief that work is not a place is stronger than ever. And on a personal level, I’m thrilled, energized and looking forward to the years ahead. Today I’d like to highlight just a few areas where we’re especially focused with our mobile workspace strategy. The first is the virtual desktops and apps where we recently took a number of important steps to extend our Windows app delivery leadership and to accelerate XenApp upgrade value. Attendees of synergy loved the new security, performance, management, and mobile experience capabilities they saw. At the same time, we’ve seen excellent response to the preview of the migration toolkit that gives customers a smooth path to the new XenApp. We are continuing to expand on virtualization use cases to include cloud-enabling of the world’s most compute, graphics and storage intensive apps. This is called RaaS, Rich Apps as a Service in an area we’ve been pioneering for sometime with NVIDIA, a long time partner of ours. We are also working closely with some other partners, Intel and HP. Recently we debuted some breakthrough price performance for rich apps delivered by HP’s new Moonshot platform, the new XenApp and Citrix HDX technology. So we’re continuing to lead the virtual apps market with the unified scalable architecture that provides the most high fidelity user experience that delivers the broadest range of windows virtualization solutions and runs on premise in public clouds or in both. This gives customers the breadth of solutions they need, avoids the cost and pain of lock-ins and harnesses the flexibility, elasticity, and economics of local, regional and mega clouds. Next is enterprise mobility, an emerging fast growing market where our pace of innovation has produced 7 XenMobile releases in the last six quarters. XenMobile 9 launched in May, is the first to bring the core elements of enterprise mobility together, device and app security, cross-platform app delivery and mobile productivity apps, all in a unified platform that works seamlessly with XenApp and XenDesktop. XenMobile leverages our SaaS app products, our mobile app platform and our delivery networking infrastructure. They together, they provide a differentiated complete solution for our customers. XenMobile 9 is a fantastic release that includes beautiful Citrix mobility productivity apps, seamless XenApp and XenDesktop integration and expanding number of apps from our ecosystem partners. Early this year we began offering XenMobile cloud edition and from here you could expect us to continue the fast pace innovation, integration, and simplification that will give us broader reach with our channel partners and deeper adoption with enterprise accounts. The last highlight is Citrix workplace services, which we previewed at Synergy. CWS is a set of cloud services we will be delivering over the coming quarters. It’s our platform for partners and customers to deliver mobile workspaces on any cloud. It’s built to speed customer adoption by reducing on-premise complexity, leveraging the simplicity of cloud services and enabling the aggregation of mobile Windows and Web based workspace apps. This announcement continues our history of setting the workplace virtualization agenda for the industry, delivering in customer centric, simpler ways and leveraging both in place and new infrastructure from premise to cloud. Looking forward, I’m very positive on the trends influencing our business. As we look to the second half and through 2016, we’re focused on six priorities. First is to leverage and grow our virtualization business with a strong focus on upgrading customers, innovations for new use cases, partnering with Microsoft and cross-selling our new mobile and cloud offerings. Second is to innovate and capture share in enterprise mobility, a growth market where we’ve momentum, significant differentiation and technology leverage in mobile apps, secure data, delivery networking and endpoint security. Third is to expand our SaaS portfolio of apps and platforms where we can leverage our SMB base, offer great value in business workflows, further address vertical markets and leverage our enterprise customer base. Fourth is to invest in our delivery networking footprint where we can leverage significant competitive advantages and expanding partnership with Cisco and proven ROI in filling go-to-market coverage gaps. Fifth is to accelerate our focus on service provider partners, who are already using our infrastructure to deliver over 1.5 million business ready desktops and apps as a service and will serve as a thriving route to customers in the new mobile and cloud era. And sixth is to begin the delivery of our workspace services cloud that taps technology, talent, and integrations across all of Citrix, enabling new offerings for delivering infrastructure and workspace apps and serving as a foundation for predictable recurring revenue streams. So this is how we will exceed expectations of investors, partners, customers, and from within. Its how we will reinforce our belief in the employee value of a great place to work, the customer value of beautifully useful products, the shareholder value of profitable growth and the deep felt pride in helping people work better and live better. I’m thrilled to continue the journey. I’d like to close by reiterating our commitment to operational efficiencies and portfolio optimization and for accelerating growth and margins over the long-term. And now, I’d like to open it up for questions.
David J. Henshall: Operator, okay to open-up for questions now.
Operator: (Operator Instructions) Your first question comes from the line of Heather Bellini from Goldman Sachs. Your line is open.
Justin Rowley - Goldman Sachs Group Inc.: Hey guys, this is Justin on for Heather. Just wanted to ask a question on your MDM strategy and sort of what are the key differentiators there and what conversations are you guys having with the sales force? How are they kind of prioritizing this with other offerings that would be helpful? Thanks.
Sudhakar Ramakrishna: Sure. This is Sudhakar. I will take that question and David and Mark will add to my comments as they see fit. First, we look at the world as being much broader than MDM. Obviously, we believe we’ve best-in-class MDM capabilities, but increasingly we believe MDM is a feature, sometimes embedded within the devices themselves by the device manufacturers and often times by vendors such as us. Our portfolio strategy on mobility spend much further than MDM. First, I want to highlight that when we talk about mobility, we talk about the mobility of windows applications as well in the context of XenApp and XenDesktop. So for us mobility is a much broader place than simply MDM. But coming to our XenMobile products specifically, we’re focused intensely on what we call secure productivity applications, in other words enabling our customers to enjoy as Mark quoted beautiful experiences at the same time incredibly secure applications that enables productivity. Many of the applications are also written by our partners and we look at MDM plus application management, plus content management with a integration -- disintegration of ShareFile. And so that’s where our differentiation comes about, which is the completeness of vision and our ability to bring all of our products together into integrated solutions for our customers in a secure fashion, delivering mobile experiences all throughout.
Justin Rowley - Goldman Sachs Group Inc.: Thank you. I appreciate it.
Operator: Your next question comes from the line of Steve Ashley from Robert W. Baird. Your line is open.
Steven Ashley - Robert W. Baird & Co.: Great. You guys refer to operating efficiencies trying to drive that and you talk about -- little bit about rebalancing the portfolio. I was just wondering if you could give us more color on those initiatives.
David J. Henshall: Yes, Steve. It’s Dave. I mean in terms of operating efficiencies this is obviously been a topic that’s been in the middle of the conversation for a long time and we’ve talked about our longer term goals and where we’d like to see our margins run on a continuous basis across the Company. And then on more of a short-term point of view, our guidance would imply probably a 25% to 50% increase and adjusted operating margin from where it was as of last quarter and how we’re getting there is a number of different vectors. One of them is just overall let’s call it cost focused and disciplined that all companies go through. Another one has been in specific delayering activities, in some cases we’ve been optimizing locations and facilities to be able to bring down the overall physical in footprint, while increasing density. But probably most importantly is a general rebalancing behind the scenes to make sure that we’ve got the people really focused on the most strategic initiatives across the Company. Mark mentioned the priorities in some of his prepared remarks that really focused on reaccelerating app and desktop business, growing and leveraging enterprise mobility expanding our SaaS portfolio and apps as they cut across, all of the enterprise solutions and of course continuing the success we’ve seen in our application delivery network. So those are really the big, big areas. And there is no one initiative, but it’s a broad focused and high priority for us as the management team.
Steven Ashley - Robert W. Baird & Co.: Terrific. And then just a quick follow-up, the XenMobile. In the past you had talked about maybe hoping to double that business during 2014. I don't know that was a formal kind of guidance or something that was just less formal, but is that still something that’s possible this year with that business?
David J. Henshall: Yes, I think so. When we talked about -- I mean that’s still our goal. When we talked about the numbers, I mean that was on a product license basis. On a bookings basis, including all elements that actually grew significantly faster than that. So overall, the business is moving in the direction we’d like it to. The pace of product innovation that we’ve been on has been very intentional. I mean, we’ve been focused on a lot of the things we’ve discussed over the last few quarters to drive deep integrations and really the differentiated approach to enterprise mobility versus simple MDM that tends to exist in the rest of the marketplace. So that was Phase 1. Phase 2 was about really focusing on end-user requirements and end security I’d say, to make sure that we’ve the best end-user experience out there. That’s been one of the things that allowed us to increase pipeline closure rates and continue the efficiencies. And then the last thing that is work-in-process right now is really on the -- what I call the backend components to make the ability to drive leverage across our broader field organization and our channel organization, much more efficiently, let’s say. And those are the big three areas we had been on and all three of those have helped us yield a better pipeline closure rate and accelerate the business overall. So we’re on that continuum. We are moving fast and expect us to continue to deliver a lot of innovation on this front.
Steven Ashley - Robert W. Baird & Co.: Great. Thanks so much.
Operator: Your next question comes from the line of Edward Maguire from CLSA. You line is open.
Edward Maguire - CLSA Limited: Good afternoon. I was wondering if you could discuss how you at the conversations you're having with partners and customers are changing as you make the move from selling discrete products to workspaces and if your -- as this is involving much more of a business case, how does that change your go-to-market?
Mark B. Templeton: Yes, Ed, great question. I’d say first of all, it’s an extension of the strategic desktop virtualization conversation that we’ve built go-to-market in high touch capability around for the last several years, because the focus of most large organizations is around the security and enablement that comes from mobility. And so our FI partners certain as like Wipro, like IBM, like Accenture and others are certainly helping us in that conversation both on the strategic and on the implementation front. And then obviously we’ve invested pretty heavily and being able to have that conversation with customers ranging from our field force and training and so forth and how we’re organized there, but also in the investments we’ve made in briefing centers and staffing there and we will had another record half in terms of growth of strategic briefings. So and those custom -- those conversations are really about mobility as Rama referred to in the more general sense and they’re less about technical solutions and more about business solutions and value that are related to facilities and redesigning physical workplaces for greater density. There conversations about globalization and taking advantage of workforces that are in different places around the world for economy or being closer to customers. There are conversations about employee retention and engagement especially with the digital generation making such an impact now in terms of the employee populations and mobility is a key aspect of engagement and retention there and recruiting. And so, I could go on, but it’s those kinds of conversations that we’re having with customers that are holistic around mobility. And our products now are end-to-end focused and perspective and experienced in terms of mobile going back to when the company was really about remote access really makes us the trusted, most logical partner to talk to about this. And then obviously we’re extending that through partners. And then the way it will play out is that our service provider partners will become a much more important part of this motion in 2015 as we cloudify the end-to-end capabilities as well as many of our Citrix solution advisors are already service providers, and we’ll do that on much more of a localized basis. So, it will shift more and more to service providers and a broader conversation.
Edward Maguire - CLSA Limited: Great. It’s great to hear you’re staying onboard market. Thank you.
Mark B. Templeton: Thank you, Ed. I appreciate it so much.
Operator: Your next question comes from the line of Raimo Lenschow from Barclays. Your line is open.
Raimo Lenschow - Barclays Capital: Thank you and congrats on a great quarter. Can you talk a little bit about the linearity you saw in the quarter in terms of the geographies or just maybe talk about kind of broader trends you see there, I mean, I saw Europe had the stronger growth, America was okay I guess against tough comps. Lot of people struggled in Asia, but you were okay. Just help us understand how it feels out there? Thank you.
David J. Henshall: Sure, Raimo, it’s David. Let me characterize in a couple of ways. One, in terms of individual products I would say that the business around networking was actually fairly linear, it’s more linear than anything else. We had large volume of orders come in early in the quarter. Some of those were through the large cloud service providers that are out there that tend to order in small frequency, but large size. I would say the large transactions for desktop and mobile, those look like they would in any quarter tend to be more backend loaded into the third month, and that’s cutting across all geos. More specifically just to get down one level, I’d say that overall desktop and mobile had good quarters for desktop solutions in both EMEA and APAC. Mobile platforms as I mentioned earlier drove revenue up north of 50% year-on-year. Networking and Cloud pretty good quarters everywhere especially in U.S. and EMEA. So the one thing I pointed out just briefly in my prepared comments is that we actually had a large transaction come in for the complete suite which is interesting because we had just released that in the last few days of the quarter, and that is an interesting early opportunity as we look at the installed base and customers are looking to adopt the broader solution. So, what that was, was actually a renewal of subscription advantage that instead of just doing a simple XenApp renewal, the customer decided to go a much broader deployment of multiple technologies and decided to upgrade or trade up as we call it to the full workspace suite. So, that will be a motion that we push more in the back half of the year and the impact will be obviously uplifting overall ASP to customers, driving broader set of products out there and providing overall uplift long-term to the license update and subscription volume as well.
Raimo Lenschow - Barclays Capital: Lovely. Thank you.
Operator: Your next question comes from the line of Phil Winslow from Crédit Suisse. Your line is open.
Philip Winslow - Crédit Suisse AG: Congrats on a great quarter. I just have a couple of questions really on just the product feature side and just roadmap here. Obviously you had the Nike and then the Artemis releases over the past six months on the XenMobile side, Artemis being XenMobile 9.0 late this quarter. What if you can talk about just sort of the impact that you believe you’ve seen from these releases, and sort of just where you are in terms of just your feature inclusion versus the competition maybe versus where you were a year ago? And then I just have one follow-up beyond that.
Sudhakar Ramakrishna: Sure. I’ll address the product aspect of XenMobile. As you mentioned XenMobile 9.0 which was code named Artemis. We just released it a few weeks ago. We included a number of extensions to existing applications like for instance, I believe we are getting to be close to best-in-class from a mail application for instance, but at the same time have expanded the portfolio of applications as well. But increasing these stepped up security capabilities. As you know with mobility, security becomes even more important especially with some of our larger customers where the boundaries of the enterprise are being increasingly blurred. So there is an intense focus on adding security capabilities while maintaining great user experiences. We don’t want to stifle users just because we have security capabilities. So, that’s been a key area of focus for us. The third aspect of it while expanding our user experience capability has also been around simplicity of setup and administration. So those are all factors that we have adapted to and implemented with a great amount of speed as Mark and David mentioned in the XenMobile 9.0 portfolio. The early feedback I would say has been extremely positive and encouraging. In fact one of our Fortune 100 customers who has deployed the Artemis release has given us their internal experience as exceeding any that they have had with any enterprise IT software. So while it is still very early days, we are incredibly encouraged by the differentiation, the innovation and the customer adoption to our particular product line here on XenMobile 9.0. Going forward a lot of the focus is going to be on simplifying administrative experiences, cloud enabling our XenMobile product where we are seeing much further and faster progress in terms of adoption, as well as increasingly making it a channel and partner friendly such that our penetration into all size enterprises continues to grow.
Philip Winslow - Crédit Suisse AG: Got it. Just as a guy whose IT shop pushed out Artemis to him, it definitely does seem to be night and day versus Nike, so thanks for that. And then just a follow-up I have is on XenApp and XenDesktop 7.6. So we have XenMobile 9.0 out, XenApp and XenDesktop 7.6 you guys talked about at Synergy coming out in Q3. I just wonder if you could provide us an update on that. And then Mark maybe you could give us your thoughts on the impact of those as we go into the second half. Thanks.
Sudhakar Ramakrishna: Yes, we’re – at this point we’re not making any product launch announcements on any new versions of XenApp or XenDesktop, but it’s very clear that we’ve talked about where we’re headed at Synergy, Phil, and where we’ve got incredibly strong feedback from customers at Synergy including feedback on the preview of the migration tools. And as I said earlier, we think the next release is the tipping point release for XenApp for many customers that were looking for feature parity and then some of the new capabilities that they’ve seen in XenDesktop around the backend components as well as hybrid provisioning as well as additional security, endpoint capabilities around let’s say Chrome OS, Chromebooks et cetera. And it’s kind of a good list of things that they’re actually looking forward to. And I think this next release will have a big impact because I think there’s a lot of pent up demand if you will for moving forward in a big part of the customer base and partner base with XenApp and to do that with this incredible migration toolkit that we put together as well as some of the things that we showed that will change the price performance dynamics around XenApp in particular infrastructure that we demonstrated on the HP Moonshot platform. So, I think there’s goodness ahead, and it is a catalyst. I think when we’ll start to actually see that in the bookings in all I would imagine we would start to see it pretty quickly after we get the product in the marketplace. So, stay tuned.
Winslow - Crédit Suisse AG: Great. Thanks.
Operator: Your next question comes from the line of Karl Keirstead from Deutsche Bank. Your line is open.
Karl Keirstead - Deutsche Bank AG: Thank you. This question is for David. Just wondering if you could provide a bridge for the non-GAAP EPS performance of $0.83 which is appreciably above the guide that you offered at the May Analyst Day. I know there were number of moving factors maybe, the buyback impact, taxes, perhaps the cost reduction initiatives in 2Q were little bit more than you were anticipating in May, but maybe you could just provide a bridge for us. And it looks as if the magnitude of the beat is not getting translated into a full-year non-GAAP EPS lift, so maybe you sort of front-end loaded some of those cost initiatives in 2Q, perhaps you could just comment on that? Thanks.
David J. Henshall: Sure. Just to bridge it back to your prior guidance because it was a pretty material upside. About 4 pennies of that would be attributable to tax items, and those items were not included on our guidance. So, of the delta, I’d put about 4 pennies into tax. But the large majority of it was due to out-performance of the operating income line which is of course where you’d like it. And that was a combination of more higher performance on revenue, so more upside on the top line. And then specific action we have been taking in some of which I touched on at a very high level around cost. I mean, it is a large focus of not so much cost, that’s just making sure that investments are targeted towards the right areas; we’re driving the most efficiencies out of those. That’s probably the way I would characterize it. And then the work that we’re doing below the line on capital structure returning more shares in the second quarter. So, as far as overall guidance, we’re uplifting the EPS on the full-year largely due to the operating performance you saw on Q2. We’re maintaining the top-line revenue growth, and we are going to take a conservative posture into the back half. I mean that hasn’t changed from where we were the last couple of quarters. I think its appropriate given that we are still ramping several new initiatives right now, and we had a challenging second half last year. And until we have many more quarters of continued sustained performance I think maintaining the conservative bias is the place we’d like to be. So that’s the way to bridge the guidance from March and the out-performance you saw in the -- excuse me, the guidance in May and the out-performance you saw in the actuals.
Karl Keirstead - Deutsche Bank AG: Okay, that makes sense. And if I could just ask a follow-up, and I think you may have just answered it. If we look at your revenue guidance for 3Q it implies about the same 7 percentage growth that you just posted in 2Q. 2Q was an awfully tough comp, so you did well this quarter. So the growth is staying the same in 3Q. Is the explanation for that despite the easier comp that you’re taking this conservative posture with respect to the revenue guidance as well?
David J. Henshall: Yes, our guidance was 0.2 roughly 7 to 10 I think growth in revenue in Q3, major year-on-year. And yes, I think Q3 was the challenging quarter last quarter. It is the summer quarter, and in EMEA and other places in the world. So we want to maintain the conservative bias. That’s nothing more to read into it besides that.
Karl Keirstead - Deutsche Bank AG: Got it. Thank you so much.
Operator: Your next question comes from the line of Walter Pritchard from Citigroup. Your line is open.
Walter Pritchard - Citigroup: Hi, thanks. So, Mark great to have you back as CEO permanently and I think nobody could envision a Synergy without you up there on stage. I guess what I wanted to kind of get a sense of is, you had some time to reflect and come back and we’ve gotten to know your management style pretty well, but I’m wondering how we should expect things, things may change with you having stepped back and come in as -- [ph] [reback] in here as CEO, is there any -- should we expect there to be kind of any different way that you run the business or think about decisions to make for the business?
Mark B. Templeton: Well, thanks Walter. Thanks for the kind words. I appreciate them. So, yes the perspective of the personal leave has had a number of impacts on me and how I looked at things. And mainly through the lens of how I can, the much more active and a catalyst on making sure we make tradeoffs and set priorities and speed up some of the decision making processes internally. And so, if you go back to the list of priorities the six priorities I talked about, what you’ll find then behind that is much better alignment into the organization around these that lets us make decisions around investments flowing between products and go-to-market teams et cetera. And pretty deep in the organization looking at organization talent, investments we want to make that we haven’t been able to make because of opportunity costs and by refocusing we’re able to make them. So, a lot of that perspective coming back in, but still I’m the same person, and I’m still here to steward the company through I think another pivot with in the last 20 years stewarded the company through several and this is another. And I think this is the most exciting one of all, and we have the most broad portfolio that by far the most talented team we’ve ever had on a relative basis. So, that’s sort of what's different, but most of it is the same with the perspective of having been on leave for some months.
Walter Pritchard - Citigroup: And then David, just a quick one for you on the trade-up program. We saw number of years ago you ran a trade-up which was really effective in jumpstarting XenDesktop there for a while. And I think your channel knows how to work with that sales motion. Can you talk about sort of impact you saw here in Q2, might have been kind of early, but what we should expect Q3, Q4 as that trade-up gained some steam?
David J. Henshall: Sure, Walter. It was very little in the quarter because we had just released the products within the last few days of the quarter when they started shipping. I did call out one large transaction, the customer that had been XenApp customer for a long time, and they knew the products well and they use this as an opportunity to embrace a broader technology stack, most specifically mobile. So, I think the motion is going to serve a couple of purposes. One, it allows us to uplift ASP, so it drives license revenue; B, it allows us to drive a larger subscription stream over long-term because the annual ARR is not only just larger based on the size of the ASP, but its also larger because it’s a complete maintenance offering versus standalone subscription advantage. And then lastly, it’s a great way for customers that have thought about app or desktop virtualization strategically are ready to extend that into the context of mobile. So, I do think it will be helpful in the second half. We’re not going to talk about specific expectations yet. But I think of many of the tactical activities this is an important one going into the back half.
Walter Pritchard - Citigroup: Great. Thank you.
Operator: Your next question comes from the line of Rob Owens from Pacific-Crest Securities. Your line is open.
Rob Owens - Pacific-Crest Securities: Great, thank you very much. I want to focus a little bit on the desktop solutions number in the quarter. If I just look at the year-over-year growth it’s been the slowest it’s been in quite some years and I realize there was a tougher comp. But with you no longer given the different components and talking about the success you’re seeing in XenMobile, just maybe some color from 30,000 feet. And then you’ve got a competitor in that space obviously that’s making a lot of noise. So, maybe help us out in terms of the competitive environment, what you’re seeing at this point where customers are? Thanks.
Sudhakar Ramakrishna: I’ll take the crack at it. In terms of the competitive environment, I presume you’re referring to some of the more recent releases that is Horizon 6 from the competition. I would say that, while we see VMware in a lot of circumstance and situations. As we do our win loss analysis, we are really not getting displaced or won against by VMware. And as it relates to Horizon 6 specifically its early days, we haven’t really seen a lot of it in action. But what little we have seen, I don’t believe we have really lost to them in any major deal or getting displaced. Our focus has been on doing certain fundamental things that be in some cases have not done a very good job or for instance in the past we have highlighted that we are reinvigorating XenApp and bringing that back into focus. So we came out with our XenApp 7.5 release earlier this year and we continue to build on it, because we made our mark with application virtualization and also built a significant strength in desktop virtualization. What we are observing now is increasingly we have to expand the market in certain segments as well as be much more focused in the use cases that we deliver. For instance security continues to be a significant use case that we deliver with these solutions and that has been an area of focus for us. The next big use case is in the broader context of mobility. If you think about our receiver portfolio, we have significantly expanded the receiver portfolio both organically and working with partners such as Google, and that has opened up additional applications for us specifically in the retail sector. Mark made the reference to RaaS which admittedly was not something that we could have supported in the past years technology limitation, but those have all been overcome now and we’re much more focused on verticalizing XenApp and XenDesktop and attacking some of the vertical markets that are opening up opportunities. So, together with product improvements that I just outlined, as well as new markets and segments that we are penetrating to expand the overall opportunity base, and integrating XenApp and XenDesktop with the broader portfolio of XenMobile and our Cloud networking portfolio and delivering more integrated solutions. We believe we can recover growth and have meaningful growth in the second.
Rob Owens - Pacific-Crest Securities: Great. Thank you.
Operator: Your next question comes from the line of Kash Rangan from Merrill Lynch. Your line is open.
Kash Rangan - Bank of America, Merrill Lynch: Hi, thank you. Let me rattle of a few questions very quickly, and feel free to prioritize them the way you would like -- you would see it fit. One is, Mark and team are you content with your current growth rate and if not, and if the company were to hypothetically accelerate its growth rate next year, what you think would be the driving factors for that acceleration? And secondly, with respect to the DaaS business I think you mentioned 400,000 desktops that’s up incrementally sequentially from 360,000 desktops. That alone in my rough estimation probably drained away 5 to 6 points of license growth, maybe 4 to 6 points of license growth. Can you talk a little bit more about the transformation that’s happening there and how if you believe we should not be looking at your reported revenue growth rate because they maybe misstating the true impact of that, the subscription transformation? And finally your thoughts on the VMware Safe Passage program for Citrix customers. Thank you very much.
Mark B. Templeton: Sure, Kash. Let me take the DaaS question and then ask Mark and Rama to talk about Safe Passage and just the overall growth rate. So, specific to, well I guess, DaaS which is not the term we really use, but we talk about apps being delivered -- apps and desktops being delivered by our CSP partners. We have couple of 1000 partners that are engaged now with over 400,000 end users. And probably the best way for us to think about that is, not so much of replacement of an existing XenApp, but really a market expansion play. We don’t have perfect information to say that it would have been or would not have been a perpetual base sale. But I think the motion that is being addressed right now is that for a large segment of the population abstracting away the complexity of on-prem infrastructure and being able to consume what we refer to as finished goods, whether that’s is a complete desktop with a set of thin verticalized apps tends to be what we see in many cases. Now that allows customers to simply consumer what they need. So, lots of SMB, lots of prosumers that type of customer. That’s definitely a growth focus of ours going forward. I mentioned that it’s approaching 10% of the license mix, its still high single-digits but growing substantially. Over time I would expect more and more of that revenue to continue to migrate more towards recurring sources. I think not so much in 2014 but as we go into the next couple of years and work space services become another way to again abstract away complexity from customers, easing adoption, easing expansion and the things they don’t really hold back technologies like this from going broad base. So stay tuned on that front, but really an important segment of the market but hard for us to say whether it is cannibalizing others or not. I think it’s more of a market expansion. Rama, if you want to talk about Safe Passage
Sudhakar Ramakrishna: Sure. Let me provide some context Kash on that. First as customers deploy XenApp and XenDesktop they are focusing on some, I would say business critical imperatives that they have. For instance security, productivity of their uses, delivering great experience’s in fixed and mobile use cases and so on. While cost is important, I wouldn’t place that at the top of the list as it relates to considerations when they deploy app and desktop virtualization. So, when the competition talked about Safe Passage, I would humbly submit I’m not so sure it is safe for customers. Because many times when they talk about migration there’s really no real migration tools that are being offered. It’s the cap and grow or rip and replace in many cases. That really causes more harm to the customers installed base and the experiences and productivity of their uses then getting some near-term financial benefit for an expense that they have already incurred for the most part. So it’s unclear to me from a business value standpoint if there’s anything material for customers through programs such as this, and I’d look at it as another form of discounting and nothing more. Our focus is truly to continue to drive innovation in XenApp and XenDesktop and focus on the security, the mobility as well as the productivity dimensions that customers care about and give them options both on-premise and off-premise and give them flexibility of both cost and deployment model [ph] [that way] as opposed to I’d say marketing ploys like this.
David J. Henshall: Kash, your last question about growth rate. So no, we’re not satisfied with our growth rate. We are committed to accelerating, reaccelerating our growth rate. And where that could come from next year and sort of in your theoretical -- somewhat theoretical question, I would say it would be in where there is leverage that’s natural in the business. So first is, the first leverage is in channels. So, to the degree that our CSA partners and the CSP partners actually are able to be more effective and more efficient in going to market with our SPLA licensing around XenApp, and the new XenApp and XenDesktop to the degree that they are -- they get some early traction with CWS and to the degree that they, that we – they take onboard the XenMobile product line in a deeper, broader way which are all clearly our strategies and game plan, those things are designed to give us leverage which gives us growth and it gives us margin. The other natural leverage is in the customer base, and that’s the customer base in a general sense. The customer base on the enterprise side and the customer base on the SMB side of the business. And to the degree that we are offering valuable enhancements that either increase retention, increase NPF, encourage customers to do their migrations to Window Server 2012 and build on some of the newest converge infrastructure for example that will see a lot of next year. I think those are some good catalysts for improving our growth rate. And where a number of these business priorities that I outlined are focused actually.
Kash Rangan - Bank of America, Merrill Lynch: Great. Look forward to it. Thank you.
David J. Henshall: Thanks, Kash.
Operator: Your next question comes from the line of Keith Weiss from Morgan Stanley. Your line is open.
Keith Weiss - Morgan Stanley: Excellent. Thank you for fitting me in guys. Obviously, a lot of focus or a lot more focus from you guys both at the analyst day and in the most recent quarter on the margin side of this story. And Dave, you’ve given us some sort of high level targets where you think margin should go. But there’s still little lack of clarity in terms of exactly how we get there. So I was wondering, is there's any chance that you’ll give us sort of targets in terms of the pace of improvement that we could expect in operating margins over the next couple of years, or is there anything programmatic that you expect to go on maybe a formal restructuring or reorganization to sort of better focus the organization on the key growth areas, that could give us some sort of guidance into how sort of efficiencies come into the model over time?
Mark B. Templeton: Sure Keith. I mean, as far as specifics, we’ll give a little bit more directional guidance coming out of this quarters earnings call when we talk about how we’re thinking about the business model for 2015 and beyond. I think that’s the appropriate time to do it. In the short-term we’ll focus on tactical things that we’ve talked about as well as structural things it will be important longer term. Just to highlight something that we’ve all talked about many times is the impact of kind of gross margins on the overall margin structure. That’s been about a 500 basis point decline over the last few years as we’ve been ramping up networking in SaaS and in some of these other areas very aggressively. I do continue to believe that that will plateau out as we go into the back half of this year and into next year. And so that stops becoming a headwind to all the activities that we’ve been driving to just improve efficiencies, let’s say. If you take a step back on a micro level and look at operating expenses as a percent of revenue for example. They declined about 130 basis points year-over-year in Q2. And the biggest change coming from sales and marketing which went from 41% of revenue down to almost exactly 39% I believe, so about 200 basis points there. And a lot of the actions we’re taking show up there. I would also say that, as we look at ramping some of the newer businesses things that have been highly dilutive to both our go-to-market costs as well as our focus, I mean, those continue to get more and more scale as time goes by, for example mobility. And so, it’s really tough to look at the individual pieces, but when you look and analyze the overall motion, we’ve been pretty consistent on this front. And as the new businesses grow, we’ll be able to grow into some of that expense that already exists and overlay teams and things like that that are fairly unique investments can be absorbed into a broader motion, they can be leveraged more effectively. So, fairly long answer, but I mean there’s a number of different factor’s that we’re pushing on right now and we’ll be prepared to give more specifics as we go into next year and subsequent periods.
Keith Weiss - Morgan Stanley: Excellent. And if I could sneak in one follow up. Gross margins obviously have been definitely a headwind over the past couple of years for the overall operating margin profile. I would say that one of the other ones is a pretty steady pace of acquisitions that you guys do to expand into new technologies and bring new technologies onboard. Does the renewed focus on or tighter focus on operating margins, is that going to change at all your M&A strategy or make may be the bar for when you actually go out there and do M&A a little bit higher than it's been in the past?
Mark B. Templeton: Yes, I would say our M&A over the last 12 to 18 months has really been focused on smaller tactical acquisitions. Things really to either bring unique capabilities to market which is more of a build buy conversation or just accelerate something that we have to drive for competitive or differentiation purposes, and I think that's been our bias, and that will continue to be our bias in the short-term. We are still ramping new businesses in a couple of areas. We’re happy with the progress we’re making, but we have to continue to maintain that maniacal focus on driving those to where we really like them to be. So, not a lot of change in the short-term, but pretty similar to where we've been I would say looking backwards over the last several quarters.
Keith Weiss - Morgan Stanley: Got it. Excellent. Thank you.
Operator: Your next question comes from the line of Rick Sherlund from Nomura. Your line is open.
Rick Sherlund - Nomura Securities: Yes, thanks and congratulation on your plan to get more leverage out of the business. I'm just curious to follow-up on that issue of leverage. If we look at XenMobile for example, can you give us a sense of how much of that is being leveraged and pulled along with other products? And maybe just some sense for the dynamics there as well in terms of, to what degree are you starting to see more traction in terms of larger deployments, larger deals sizes, maybe how much of this is being sold into the installed bases with key business versus new, any metrics you can offer us on the front. Thanks.
David J. Henshall: Sure, Rick. Let me throw out a couple of metrics. At a high-level, about half the customers are new in Q2, and it's been a roughly what has been running at for the past couple of quarters. As far as leveraging into others, I mean we’re still in an early nascent phase in this business, we’re ramping pretty aggressively. And I think the place that I’d say installed base customers will have the opportunity to participate more aggressively is around probably the workspace suite as a good first pass. And then of course we’ve got a huge installed base of folks that have already thought about mobility and virtualization and security in a different way. And so that will be obviously one of the primary target areas for our teams to go after as well. As far as large transactions, we had about four last quarter that were in that $1 million plus range that included XenMobile as the primary component of that transaction. So, we’re starting to deploy at a larger and larger scale. And like with any new product those ramp, and so I would expect to see that trajectory continue and potentially accelerate especially XenMobile 9.0 which addresses many of the security concerns or other issues that a large complex organization is going to have as a checklist item. Once those things are now checked off, I think we also have the opportunity to really accelerate on those big scale deployments as well. So, we’re optimistic about the second half of the year in that regard.
Rick Sherlund - Nomura Securities: Just to follow-up on that. I would seem that the market is just kind of slightly penetrated if you look beyond MDM to the broader app and content management space. Do you think the market is going to ripen looking for broader solutions and I’m curious why we haven’t seen broader deployments to date?
David J. Henshall: Well, I’d say a couple of things. One, yes I agree with the market is moving beyond simple MDM and the ability to just control a device is interesting, but not strategic. And to enable more productivity in use cases, controlling broader end of the stack is important. And content data is a really, really important element of that and I think we’ve got a huge differentiation with the level of integrations we can drive with our ShareFile platform. In fact I think we’re the only vendor in the world that shows up in the leaders quadrant in both enterprise think and share as well as enterprise mobility and we’re leveraging that in important ways right now. So we’re on a pretty fast ramp, but I think those will continue to be the strategic level of conversations the customers want to have going forward.
Mark B. Templeton: Yes, Rick the thing that I’d add on sort of the ripening dimension is that I think first off, we’re focused on business mobility versus the consumer side of things and what will ripen business mobility around will be the a greater velocity of business built apps, that are either coming out of the mobile enterprise app platform space, coming out of some of the service providers that are specializing on that. And so to the degree that there is an acceleration there, I think that will cause the EMM space to ripen at a much faster pace. And we’re obviously trying to get ourselves in a great position with an integrated solution that takes advantage of about -- everything we know about security at rest and in transit on the network, everything we know about aggregating services of dissimilar types whether they’re Windows, Web, or Mobile, everything that we know about mobile apps themselves, obviously things like GoToMeeting and ShareFile have underlying platforms that we’re monetizing with the Works Suite. So this is getting us critical mass in terms of the core mobile apps we think enterprises especially those that are in highly either regulatory areas or have very dispersed workforces in geographies that are believed to be dangerous in terms of -- from the security perspective. So that’s what we’re preparing for and then the apps once they flow, I think it will ripen the space at much more rapidly.
Rick Sherlund - Nomura Securities: Thank you.
Operator: Your next question comes from the line of Abhey Lamba from Mizuho Securities. Your line is open.
Abhey Lamba - Mizuho Securities USA Inc.: Yes, thanks. Mark, just following up on one of the earlier questions, how should we think about the impact of retirement of Windows Server 2003? How is it going to impact your XenApp business? Kind of what percent of your XenApp customers are currently on Windows 2003 and will the coming release be sufficient to get them over to the next release?
Mark B. Templeton: Yes, great question. First of all, it will be a catalyst for pushing customers forward. And especially next year when I think some of the new convergent infrastructure platforms that will be introduced will give our customers an incentive for sort of the hardware end of that conversation. So between those two phenomenon’s I think it will be -- obviously they will have to move and with reinvention of the XenApp sort of product line, especially with the migration tools etcetera. I think it will be definitely one of the catalyst for growth in XenApp. And then I think the same thing goes for Windows Server 2008, unless applications are hardcoded to it in some compatibility way. But Windows Server 2012 is the gold standard at this point and that’s where we see most customers wanting to go and wanting us to help them get there as quickly and efficiently as possible.
Abhey Lamba - Mizuho Securities USA Inc.: Thanks. And David if you can just talk about how do some of the acquisitions like ScaleXtreme and Framehawk fit into the product portfolio, and if there was any kind of noticeable impact this quarter from some of those acquisitions? Thank you.
David J. Henshall: Sure, Abhey. As far as those acquisitions, those are technology acquisitions, not revenue generating. So there is no actual revenue that’s coming with either one of those. And we will be talking more specifically about those in the future as they’re really unique and really cool technologies are delivered in product form. So we will -- I will hold off on that for now, but no revenue contribution from those in Q2.
Abhey Lamba - Mizuho Securities USA Inc.: Thank you.
Operator: We are taking no further questions at this time. I will turn the call back to management.
David J. Henshall: Okay. Thanks everyone. I mean we’re clearly encouraged by the momentum that’s building in several parts of our business and we’re confident that we have the right strategy solutions and focus for the rest of 2014. Thanks again for everyone joining the call today and we look forward to speaking to you again soon.
Operator: That concludes today’s conference call. You may now disconnect.